Operator: Greetings, and welcome to the Flux Power Holdings Fiscal Third Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded.  I would now like to hand the call over to Justin Forbes, Director of Business Development at Flux Power. Justin?
Justin Forbes: Thank you, and good afternoon. Welcome to Flux Power's financial results call. Today's conference call is being recorded. Your host today, Ron Dutt, Chief Executive Officer; and Chuck Scheiwe, Chief Financial Officer, will present the results of operations for fiscal year 2022 third quarter ended March 31, 2022. A press release detailing these results crossed the wires this afternoon at 4:01 p.m. Eastern Time and is available in the Investor Relations section of our company's website at fluxpower.com. Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we'll attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for a more complete discussion of these factors and other risks, particularly under the heading Risk Factors. At this time, I will now turn the call over to Flux Power Chief Executive Officer, Ron Dutt.
Ron Dutt: Thank you, Justin, and good afternoon, everyone. I'm pleased to welcome you to today's third quarter 2022 financial results conference call. Our third quarter reflected our trend of strong revenue growth from customer demand for our lithium-ion battery packs and the addition of new customers and along with product improvements. Revenue increased 89% to $13.2 million compared to Q3 of 2021 fiscal revenue of $7.0 million, marking our 15th consecutive quarter of year-over-year revenue growth. In the third quarter, we received $20.5 million in new customer purchase orders from existing Fortune 500 customers and new customers. To highlight a few of our successes, we have received an order for our Class 1 X-Series battery packs from a new wastewater treatment customer and multiple orders for GSE battery packs from an existing large domestic airline customer. And finally, an order for our C-Series battery packs from Beam Global, which recently reported a record pipeline. For the third quarter, our customer order backlog increased to a record $38.6 million as of March 31, 2022, reflecting the growing demand for our products from new and existing customers and our continued expansion into new verticals. Beyond our current backlog I just mentioned, we've received a nonbinding multi-year letter of intent in the third quarter from one of our large Fortune 100 customers. They indicated wanting to preserve build slots as part of their ongoing fleet conversion to lithium. In March, we introduced three new models, three new products at the MODEX 2022 Material Handling Trade Show. First, the L36 lithium-ion battery pack. That's a 36-volt option for three-wheel, very popular in growing three-wheel electric forklifts. Secondly, the C48 lithium-ion battery pack for automated guided vehicles and autonomous mobile robots, Houston warehouses. And thirdly, finally, the S24 lithium-ion battery pack that provides twice the capacity or 210 amp hours for Walkie Pallet Jacks, very high volume forklift truck. In January, we also strengthened our corporate governance with the appointment of Cheemin Bo-Linn, a global technology industry veteran to our Board of Directors as an independent director as a member of the Audit Committee and Compensation Committee and as Chair of the Nominating and Governance Committee. As we put our third quarter results in perspective, the March 31 ending quarter reflected the ongoing impact of the global supply chain disruption, increased shipping delays of key parts throughout the quarter, triggered delays in production amid increasing purchase orders from growing customer demand. This resulted in continued pre-purchasing of inventory given the production delays. Related to these delays, we experienced increases, especially in the prices of steel, various electronic components and shipping, all of which increased faster to us than we've been able to recover in pricing from shipped units in the quarter. Aggressive efforts have been taken to mitigate supply chain issues, including finding more competitive carriers to reduce shipping costs and utilizing lower cost steel suppliers that meet our specifications. We have introduced new product designs in response to customer requests. Some of the improvements included higher capacities for extra-long and demanding shifts, easier servicing, lower cost of ownership and other features to solve a variety of existing performance challenges in customer operations which span a broad spectrum. We continue to introduce new product designs for margin enhancement, part commonality and improved serviceability. And we continued during the quarter to progress more potential new customers, especially those that have large multi-shift fleets that see productivity and cost benefits coming from lithium. Inventory increased to $20.9 million at March 31, 2022, primarily to mitigate the impact of supply chain disruptions and to support timely deliveries to customers at the same time. However, we are advancing our supply chain and production initiatives to reduce inventory. In fact, our inventory turns during the quarter increased favorably from 2.0 to 2.5. And that's COGS, cost of goods sold, divided by total inventory. While supply chain issues are still challenging, our strategic supply chain and profitability improvement initiatives are beginning to show positive results. Improved production processes, including implementing lean manufacturing have resulted and are continuing to result in increasing efficiency, which in turn has seen inventories improve as they just mentioned. We anticipate inventory levels will decline as we continue aggressively shipping backlog and our strategic initiatives continue gaining traction. We recently implemented a $5 million credit facility just on March 11, 2022, that included a $4 million of signed committed credit availability. We believe this credit facility, along with our working capital line with Silicon Valley Bank that totaled $6 million, of which $2.5 million is available. These will both provide availability for unforeseen needs as this supply chain disruption appears to continue. Finally, we're seeing a modest, I'll say, modest improvement in supply chain issues from an internal standpoint due to our intense focus on manufacturing processes, procurement, cost efficiencies achieved so far as we continue advancing towards our goal of reaching cash flow breakeven and profitability. We have taken actions to restore gross margin improvement path. As highlighted on Slide 6, our gross margin improved sequentially to 14.6% in the third quarter from 13.6% in the prior quarter -- second quarter fiscal 2022. This reflects initial progress in restoring our gross margin trajectory as shown on the slide of the history. Our improvement initiatives include getting traction from our price increases, utilization of alternate vendors and lower-cost suppliers, new product designs to lower cost, reducing part count and complexity and improving serviceability of packs, all of which are part of our plan to accelerate our gross margin improvement. While supply chain disruptions continued to be a drag in our operational capabilities. In the third quarter, we were successful in keeping inventory levels at least relatively flat -- relatively flat, increasing to $20.9 million at March 31, 2022. We felt it was necessary to secure this inventory given the current supply chain in consistency to achieve our future financial goals while meeting our growing customer delivery requirements. Looking beyond the remaining 2022 fiscal year and building on our success in the material handling industry, we are also focused on broadening our reach into warehouse robotics and related verticals. With our operating strategy, we are positioned well to continue to support these sectors as the adoption of lithium energy storage continues to accelerate. On the technology front, we continue to see customer interest in our proprietary SkyBMS telematics product, designed for remote fleet management and monitoring that delivers battery pack data to optimize performance in customer fleet tracking. I'm happy to report that our customer received feedback remains very positive. With that, I will now turn it over to Chuck Scheiwe, our Chief Financial Officer, to review the financial results for the quarter ended March 31. Chuck?
Chuck Scheiwe: Yes. Thank you, Ron. As we turn to review our financial results in the quarter ending March 31, revenue grew 89% to $13.2 million in the fiscal third quarter of 2022. This was compared to $7 million in the same year ago quarter, and the Company grew by 71% from $7.7 million in the fiscal second quarter of 2022. The increased revenue was primarily driven by our sales of a higher mix of the large packs we sell that have higher selling prices. This was combined with the higher volume of units sold to both existing and new customers. In the third quarter of 2022 alone, we booked $20.5 million in new customer orders, as mentioned. While there can be some seasonality with orders, strong customer demand continues. Although gross profit was higher in the fiscal third quarter at $1.9 million compared to the same quarter a year ago of $1.7 million, gross profit margin decreased to 14.6% in the fiscal third quarter of 2022 as compared to a gross profit margin of 24.1% in the same year ago quarter. Gross profit was impacted by higher costs for steel, electronic parts, the common off-the-shelf parts all happened during this quarter. Those were partially offset by higher revenues for the quarter. Selling and administrative expenses increased to $3.9 million in the fiscal third quarter of 2022 from $3.1 million in the same fiscal period of 2021. This reflects increases in outbound shipping, higher insurance premiums and higher personnel expenses. Research and development expense increased to $1.7 million in the fiscal third quarter of 2022 compared to $1.5 million in the fiscal third quarter of 2021. Those increases were primarily due to expenses related to new product development, UL certifications and UN 38.3 testing that we do. So the cash usage, as we discussed previously, has supported our actions to protect our customer orders, given this global product shortage and delivery delays. We are actively working to reduce inventory balances as we move through this pandemic caused disruption. We ended the third quarter with $3.8 million in cash. And as Ron mentioned previously, we have our $6 million working capital line of credit with Silicon Valley Bank, of which $2.5 million is still available on that line. And as mentioned, we recently closed on a $5 million credit facility, of which we currently have $4 million of committed signed debt availability. These are resources that help us to manage our working capital needs. This added credit facility, along with progress on our initiatives, has led to the removal of the going concern clause we had in our SEC filings. Now I'd like to now pass it back to Ron to offer some closing remarks.
Ron Dutt: Thanks, Chuck. In summary, we are well positioned to create long-term value for our shareholders. Our strategic initiatives have been deployed, positioning us to work towards mitigating ongoing global supply chain disruptions and executing on our record $38.6 million customer order backlog; and finally, generating cash receipts to accelerate our trajectory to cash flow breakeven and profitability. Looking ahead, we continue to focus on increasing our energy storage solutions to new existing customers who are anxious to the benefits of lithium-ion technology and also to focus on expansion into emerging sectors such as warehouse robotics and high-voltage applications. We continue to see strong interest from both investment funds, customers and vendors for products that are aligned with ESG values, that is environmental, social and governance. Flux Power is at the forefront of sustainable products with technology that avoids tons of carbon dioxide emissions due to higher efficiency and reduced energy consumption for the same work requirements as done by other sources of energy. I look forward to providing our shareholders with further updates in the near term as we continue to leverage our leadership position in lithium-ion technology solutions with our growing list of new and diverse large customers, as shown in our slide on our PowerPoint and our website. We also hope to see some of you at the upcoming H.C. Wainwright Global Investor Conference in two weeks, and the L. D. Micro Conference in June and also our investor analyst facility tours that we're planning for the period this coming July through December held at our headquarter facility, Encinitas, California. I thank you all for attending. And now I would like to hand the call over to the operator to begin our question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question is from the line of Amit Dayal with H.C. Wainwright.
Amit Dayal: Ron, with respect to margin improvements, I know you highlighted you've taken steps to move in that direction. How much improvement -- I know you saw 100 basis point improvement sequentially this quarter on the gross margin front. How much improvement should we anticipate over the next few quarters to come through for you guys?
Ron Dutt: Yes. Amit, thanks for the question. We're extremely focused on that. And we've got a lot of aggressive actions, as I've mentioned. I think this past quarter was just trying to dig out of the December quarter where the -- we really felt the full impact of the increased prices, delays against preordering. I mean it just hit us full throttle. While we still have supply chain shortages and delays during the quarter, we're starting to gradually work out of that. So it went up one point. Of course, we would like more, but we're confident here in tracking all that we're doing that that rate of increase is just going to continue significantly as we go month-to-month and quarter-to-quarter as we go forward from here. As you know, we don't give out guidance on that. But when you look at the -- when we tally, we share our tally, we'd be glad to talk to you offline if you want a little more color. But we have very significant increases from -- steel is one of the things that hit us the hardest. It's gone up several hundred percent. And so during this time, while we're being hit, we developed sources. We're now starting for some parts, getting sources from China with very significant decreases in from Mexico as well. There are some very good sources in Mexico that our head of operations is very familiar with, with lower cost and also a little more timely delivery as well. The logistics are a factor too. And we're designing a whole new platform that has a very, very significant cost. When you start eliminating about half your parts, you really get some significant cost directions, kind of 101 of manufacturing. So those things just don't all of a sudden pop in, in like one month or one quarter. But the effect of those continues unabated in the months and quarters ahead for the several quarters ahead where it should really begin -- we'll begin to report the kind of numbers I think we're all more happy with. So it's starting now. It has started. It's gaining momentum, and we're excited about it. Despite all the headwinds of the supply chain, listen, we're raising those margins anyway. Pricing effect, a lot of that backlog was negotiated before we got the onslaught of the price increases that we sent out last fall in April. So that will start coming in on new orders, particularly the second half, but really it's already started, but it's going to gain that momentum that I'm really trying to mention.
Amit Dayal: Understood. And then you had a really strong sequential increase in revenues. How should we think about -- and your backlog grew as well. So I mean, is this sort of the new quarterly levels we are potentially delivering? Or will we may see a sequential drop in revenues? In terms of just the cadence over the next few quarters, how should we think about revenues coming free ways?
Ron Dutt: Yes. No, you look at that $38 million and shipping that, monetizing it, if you will, the LOIs that I'm referencing and we're capacity constrained right now. So we're increasing our capacity. We've got a second shift that we're starting to build up to provide the same kind of throughput as our first shift on -- particularly on the big packs. Our increase in revenue is primarily coming from these larger packs, which we're thrilled for, as Chuck had mentioned. They have higher prices, higher margins and very glad for those. So I think the -- to your point, the revenue, we see this momentum just continuing. We don't see any indication of our momentum abating, both in terms, of course, the orders we're receiving, $20 million during the quarter. Now those orders received will be shipped not during that quarter or quarters, but shift over several quarters, up to several quarters based on the timing of those. But we see it continuing and we have relationships in place where we see ability to leverage those relations to get other companies. Our channels to market are through the national account sales reps at the forklift OEMs, the Toyotas of the world, Crowns, Raymond and so forth, also some of their very large dealers as well. They already have the accounts we're after. So as we perform on the large accounts, that leads to other large accounts, it's a great leverage point with lots of synergy. We see that dynamic just continuing actually to accelerate. So it all bodes well. I can't really -- we still have a little bit of lumpiness to things once we get beyond the backlog. But that certainly has been abating dramatically versus the last few years. Yes.
Amit Dayal: Understood. Is there any revenue concentration with any specific customer?
Ron Dutt: With specific customers?
Amit Dayal: Yes, I'm just trying to see if there's any revenue concentration for you guys right now?
Ron Dutt: It's good news and bad news, really. We have three or four customers that provide the majority of our revenue. And as they continue to convert their very, very large fleets, these are Fortune 50, Fortune 100 companies. It bodes well for just continuing orders each quarter out not as far as you can think about as well. We are tracking. Our VP of Sales is giving us updates on quite an impressive list of other customers that we're working through stages of the sales cycle with them. And I'm really looking forward to that because I think the customer concentration -- reduced customer concentration will give us assurance in our financial forecasting and planning. I will say that of all these large customers, we haven't lost any. This is a relationship business. So we're very, very focused, very intent on ensuring that we build and strengthen the relationships of these companies because they have just ongoing needs for our packs. And they are very typically very influential in their sectors as well. Does that help?
Amit Dayal: Yes.
Operator: Our next question is from Chip Moore with EF Hutton.
Chip Moore: So congrats first on the continued order momentum, great to see. I was curious on the new multiyear LOI is very interesting. Great to see a large customer looking to lock up slots. I assume those units get priced as they commit, but maybe you can expand on the mechanics there? And any sense of how big that opportunity could be?
Ron Dutt: Yes. No, Chip, thanks for the question. Yes, I think it's really the first LOI of this sort that we've seen, really reflects this is starting to happen in the industry because the supply chain, when they commit forklifts, they got to have the batteries and these large companies want lithium. They don't want to have to go back and stick a lead acid battery and a new forklift that's going to these very large fleets that want the performance. So the -- it's very likely that's going to continue. So this LOI is locking in that space. It's one of our largest customers. And so it really reflects not an unusual event. We were pretty confident that the level of ordering that's happening was going to happen because we know the size of their fleets, we know their commitment to us. We believe the relationship is strong, although we have to perform each quarter, each month, believe me. There's no guarantees in any orders in this sector in this business in material handling, like a lot of other businesses I've been in as well. So you got to perform, but it's not a huge surprise. I will say just to give you an idea, I don't really want to quote a number because it's not an order. But it's for -- covers two years, and each year is in the low eight-figure dollar level category.
Chuck Scheiwe: And I think to add to your point, so these are in higher pricing as well. This is not in the pricing we had a year, this is that increased pricing that we put in effect.
Ron Dutt: Yes. It's also for a couple of our product lines that have a higher margin already. So there's not as much risk. I think what we're moving to and we're seeing, by the way, this may go beyond your question, but it's related, I'll just mention that. We're starting to see signs of if you want to lock in price at this price, if you want to share any risk to that, then it's a lower price. So the pricing in this inflationary environment is dependent on who's taking the risk on future prices. But on this particular one, we're pretty confident with the pricing.
Chip Moore: Got it. That's super helpful color. I appreciate that and great to see. And I guess a follow-on to that, and you touched on the second line and the higher-volume pack capacity, and I think the mix is favorable this quarter. But maybe back to the first question on just sort of near-term cadence. Any thoughts on product mix the next few quarters that capacity should be ramping up?
Ron Dutt: Yes. As Chuck said, we're tracking just a very definite trend toward higher mix of the bigger packs. And for us, think of it simply as there's Class III, Walkie Pallet Jack, there's the lower price, although there's a lot of them. And a few years ago, that was the only thing we sold and then we, of course, built out the whole product line. But the Class I and II vehicles, trucks that we have packs for, we call it our M36 pack for Class II and X-Series for Class 1. Those are the bread and butter, the lion's share of these big fleets is where all the action is in terms of revenue and margin. So those two. And then the third one, that's central, it's like the big three, if you will, and what we're talking about bigger packs are these larger packs for the airline, airport equipment, ground support equipment, the trucks that pull the baggage carts, cargo trucks, scissor lifts and pushback tractors. Those are larger packs as well. And we're seeing quite a bit of revenue come in from there with our largest customer with that, and we're now starting to see other airlines cement orders following their examples. So those are the ones we're pushing. We also have another pack, that high kilowatt. We call it an X80 and it's -- there's a lot of these larger forklifts that they're seeing now that lithium has really become economically attractive just in terms of cost savings, they could take some of these larger forklifts that are even outdoor forklifts and migrate from diesel or propane to lithium and gain the advantage of the better environmental impact because really, honestly, all our customers -- there's somebody there that has an environmental incentive.
Chuck Scheiwe: Yes. One thing I would add is we're working towards margins, just to keep in mind with this backlog now -- we're not waiting for the supply chain to correct itself in some miraculous way. We're taking this backlog, and it gives us the ability to do much larger purchase orders, do blanket purchase orders, do much larger commitments with vendors that really drives the price down, especially on the steel side. So that's a big advantage to having that out there that we can order stuff for six months out, which is it takes time to get into the chain, but it definitely helps a lot.
Chip Moore: Yes. Yes, absolutely. That's nice. And then maybe if I could sneak one last one in. Just you made a lot of -- you highlighted sort of the focus on broadening reach, I think, several times and whether it's warehouse, robotics. You talked about the momentum in the ground support equipment channel. So maybe just more expansion there. And then if you could touch on, I think to one of your customers had acquired storage play. Just any thoughts on that? It sounds like maybe they were still facing purchase orders. So just curious there.
Ron Dutt: Yes. Really just talked about the adjacent verticals here, I think. We've been negotiating with a customer of a division of a household name on robotics for their warehouses. It's a big, big provider of the robotics and that we expect to kick in the first part of next year. So it's just a natural extension here. We deal regularly with these customers that have the warehouses. There is a level of robotics and automation that's happening, putting lithium in there is the is what they're all driving towards. So it provides a lot of synergy to us. It's a little bit of -- our strategy has always been to have a full product lineup because you go to these big customers, and they don't want to have to go to five or six different companies to get their lithium products. So it's a natural extension. I think there's a lot of synergy there. The other one I think you alluded to was Beam Global that has the mobile charging stations that are solar powered and we provided the backup. And we have a great relationship with them. I think it's going to be ongoing in some form or fashion. They're located about 45 minutes from us. However, they felt it was necessary to bring into their own organization, a battery cell supplier. They had dealt with one before and brought that in-house. So we will gradually -- their needs will gradually be turned over to them. But I think that's been helpful. There could be some future other activity that comes with them, number one. Number two, it gives us experience in that sector, which is a natural extension for us to provide lithium energy storage to applications like that. The project we had in the past with high-voltage autonomous shuttle vehicles. So we continue to look at a number of alternatives for battery packs to come off our added assembly lines that could be fit for that kind of usage, helps us build scale. It's certainly a very key part of our strategy. So yes, continuing to look at that but also applying a business case to that. It's got to fit with our near-term strategy of getting to profitability in the very near future. And so it's got to fit with the business. But we say no to many more things than we say yes to. So as we grow and get positioned, the profitability positioned for even stronger growth, it's going to be very exciting for Flux Power.
Operator: [Operator Instructions] There are no further questions at this time. So I would like to turn the call back over to Mr. Dutt, for closing remarks.
Ron Dutt: Yes. Thanks, Peter. Thank you. I would like to thank each of you for joining our financial results conference call today. And I look forward to continuing to update you on our ongoing progress and growth. If we were unable to answer any of your questions, please reach out to our Investor Relations firm, MZ Group, who would be more than happy to assist. Thanks again. Bye-bye.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.